Operator: Thank you for standing by. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the Surf Air Mobility Q1 2025 Earnings Call. All lines have been placed on mute, to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Sam Levenson, Investor Relations. Please go ahead.
Sam Levenson: Thank you, operator. Welcome to Surf Air Mobility's first quarter 2025 earnings call. I'm joined today by Deanna White, Chief Executive Officer and Chief Operating Officer; and Oliver Reeves, Chief Financial Officer. Our earnings results can be found on the SEC EDGAR website and on our Surf Air Mobility Investor Relations page at investors.surfair.com. During this call, we will discuss our outlook and expectations for future performance. These forward-looking statements may be preceded by words such as we expect, we believe, we anticipate or other similar statements. These statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our earnings release and in our periodic reports filed with the SEC. During today's call, we will present both GAAP and non-GAAP measures. Additional disclosures regarding non-GAAP measures, including a reconciliation of GAAP to non-GAAP measures are included in the earnings release we issued earlier today, posted on the Surf Air Mobility Investor Relations website and in our filings with the SEC. During today's call, we will present both GAAP and non-GAAP measures. Additional disclosures regarding non-GAAP measures, including a reconciliation of GAAP to non-GAAP measures are included in the earnings release we issued earlier today, posted on the Surf Air Mobility Investor Relations website and in our filings with the SEC. I'll now turn the call over to Surf Air Mobility's CEO, Deanna White. Deanna?
Deanna White: Thank you, Sam, and thank you to everyone who has joined our call today. Before I review our first quarter financial and operational results, I would like to take a moment to discuss the substantial changes in the economic, regulatory and political environment since the new administration took office. Changing trade policies, tariffs and funding for various governmental functions has wide-ranging implications for the regional air mobility sector, particularly as it relates to areas regulated by the DoT and the FAA. Fortunately, trade policy and tariffs are expected to have minimal impact for Surf Air Mobility. We are an American company that operates almost exclusively in the US, primarily client aircraft manufactured domestically by a US company, Textron Aviation. Textron Aviation has publicly stated tariffs will have little impact to its business. Specific to our supply chain, any work done outside the US, such as engine overhauls is not subject to tariffs. The essential air service program, which represents approximately 40% of our revenue is part of the budget reconciliation process currently being reviewed by Congress. While nothing has been decided or implemented at this time, we believe that as the lowest cost provider, we have a competitive advantage The committee on transportation and infrastructure will be meeting this week to review the effectiveness of the FAA Reauthorization Act that was passed last May. One important aspect of that act requires the DoT to give equal consideration to costs when selecting the winning bid for EAS routes. This change provides a significant advantage for Surf Air Mobility as we are often the lowest cost provider on routes below 500 miles. We were recently awarded renewal bids for DuBois, Pennsylvania and Kalaupapa, Hawaii representing $7.6 million annually in subsidy revenue. We are monitoring all of these issues very closely. We are engaging with the federal government and are taking proactive steps to mitigate potential negative impact on our business. Now, let me turn to the results of the quarter. I am pleased to share our financial and operational achievements in the first quarter as we continue to execute strongly against each of the phases in our Transformation Plan. Turning first to our financial results. First quarter revenue was $23.5 million, at the high end of our expected range of $21 million to $24 million, keeping us on track to meet our full year expectations of over $100 million in revenue. Adjusted EBITDA loss in Q1 was $14.4 million within the expected range we provided in our last earnings release. Despite being capital constrained for much of the time since our listing, we have repeatedly met or exceeded our guidance. We continue to actively manage our balance sheet and liquidity, and just subsequent to the end of Q1, we raised an incremental $5 million in funding. On the operational front, we had numerous achievements across all three categories within the Optimization phase of our Transformation Plan. Under optimization of airline operations, we completed the relocation of the company systems operations center to the Dallas/Fort Worth area, and we are attracting top aviation talent to our management ranks. Amy Volas has recently joined as our Chief Administrative Officer, responsible for people and IT operations and customer experience and brings extensive aviation experience from her tenure at Sabre and Flexjet. Additionally, Bob Walt has joined as Vice President of Flight Operations, coming from Southwest Airlines and Sun Country. And Daniel Ho has joined as Vice President of Technical Operations and Director of Maintenance coming from Amazon Air. We also continue to adjust the composition of our aircraft fleet by returning or selling unneeded aircraft and simplifying our fleet to focus on the operationally efficient Cessna Grand Caravan. During Q1, we returned five older aircraft to their lessors. Through our refleeting work, we expect to significantly rightsize our fleet and lower both operating and carrying costs. These efforts are in advance of accepting additional new aircraft from our Textron Aviation order that will provide the capacity necessary to support our expansion into new Tier 1 routes in 2026 and beyond. During Q1, we also made substantial progress toward clearing aircraft maintenance backlogs. The combination of clearing backlog and utilizing our more efficient aircraft has begun to positively impact our flight completion factor. We experienced a brief service interruption in the first quarter related to maintenance issues, which we successfully addressed to return to more effective operational levels. This positive momentum has continued in the first six weeks of the second quarter with completion factors now above 92%. With continued investment in maintenance, the execution of our refleeting efforts and the implementation of changes enacted by our strengthened operational leadership team, our objective remains to return to 96% completion factors prior to initiating our route expansion program. Our improved flight completion factor is also driving improvement in customer satisfaction, which is important to our ambition to emerge as a premier branded regional air mobility carrier and platform. We are already noting improvements in Southern Airways post-flight CSAT scores in Q1 compared to the second half of last year. Turning to more recent achievements. We announced that our Mokulele Airlines operations has entered into an interline agreement with Japan Airlines. There is a large travel market between Japan and Hawaii, and our new agreement with Japan Airlines will enable their passengers to book travel on Mokulele to more destinations within Hawaii. Travelers will be able to book connecting flights through Honolulu International Airport to airports served by Mokulele Airlines. Similarly, Mokulele passengers will have the ability to book connecting international flights to Japan via Japan Airlines. The interline agreement with JAL is our fifth interline agreement joining American, Alaska, Hawaiian and United and expanding our potential access to over 435 million of their customers. The next initiative in our optimization phase is recalibrating our on-demand business. We exhibited several charter products to focus on profitability over near-term market penetration and launched a new Jet Card in Q1 to simplify pricing options and broaden our product offering. We recently signed volume purchase agreements to improve margins with two operators who are also beta users of the SurfOS platform. In an effort to integrate our on-demand offering under the umbrella of our branded regional air mobility experience, we have invested in rebranding this business. Our future regional air mobility customers will benefit from a seamless experience, whether they choose to fly our point-to-point scheduled service or fly a more bespoke offering through operator partners in our on-demand service. The third category under the optimization phase is driving efficiencies from SurfOS. In our earnings release, we have provided a comprehensive list of achievements including the launch of self-service flight changes and cancellations via chat, which have reduced the company's call center traffic volume by approximately 20%. Our investment in software is creating other opportunities for the company. Last week, DOT Secretary, Sean Duffy submitted a plan to replace the aging ATC infrastructure of the US. This presents an opportunity for Surf Air Mobility to leverage the capabilities of our SurfOS system to improve the air traffic control system. We have recently met with the DOT and the FAA to showcase our proprietary SurfOS software suite, focusing on four potential applications. First, Tower OS, which is a data system, an AI layer that would impact ATC decision-making by providing tower operators with critical aviation data and safety-related insights to optimize airspace management. Second, resource planning, a dynamic scheduler using Palantir's foundry platform, a workload distribution tool for smart scheduling to help ensure peak efficiency without overloading staff. Surf Air Mobility is currently utilizing dynamic schedulers within its own operations. Third, Safety Hub, an AI risk assessment tool, which ingests all flight risk assessment reports, incident reports, aviation safety action reports and anonymous near miss reports across all operators. Surf Air Mobility is also using this feature. Finally, Crew App, a full-service management system that automation streamlines common required tasks, letting pilots focus on their core tasks while ensuring the data is reliable and actionable. This application can be applied to the work activities of an air traffic controller similar to how Surf Air Mobility's pilots are currently using the crew app today. The ATC opportunity illustrates the versatility of SurfOS, the power of data and insight available from Palantir's platform and the ways in which the software and data can be leveraged into specific modules that can be adapted to meet industry needs at fee. Looking beyond our Air Mobility operations and our SurfOS initiative, I would also like to note that we continue to make substantial progress on the electrification initiative under the acceleration phase of the transformation plan. At this time, I can report that we are in late-stage discussions with key partners to advance our work, and we look forward to sharing details on the electrification plan in the near future. So in summary, we delivered on our financial guidance in Q1 with revenues near the top end of our range and adjusted EBITDA within our guided range. And as you can see from the operational achievements in the first quarter, the improvements we are implementing, the efficiencies that we are gaining and from the team that we are building, we have strong operating momentum, a clear vision of where we're going and a tangible strategic plan to become a premier regional air mobility platform. The investments that we made in our airline operations in Q1 continue to drive improvements, and we remain committed to our goal of achieving positive adjusted EBITDA in our airline operations in 2025. With that, let me now turn the call over to Oliver to discuss our Q1 results and our outlook for Q2. Oliver?
Oliver Reeves: Thank you, Deanna. I would like to start my comments by reiterating what Deanna mentioned earlier in her remarks. Surf Air Mobility anticipates minimal impacts as it relates to potential tariffs. Today, Surf Air Mobility is a domestic operator flying domestically produced aircraft and our on-demand business specializes in point-to-point domestic regional air travel. The future opportunities we are pursuing to establish Surf Air Mobility as a next-generation branded regional air mobility platform and largely focused on the US market in advance of a more global footprint. Our EAS business which represents approximately 40% of our revenue is driven by long-term subsidized contracts to provide underserved domestic markets with connectivity to hubs from which our customers can access the broader US commercial aviation network. Importantly, these long-term EAS contracts contain price escalators that act as mitigation to inflationary pressures. From a cost perspective, our supply chain is unaffected by tariffs on foreign-produced aircraft or parts and while we do overhaul some of our engines abroad, we are confident that these services are not within the scope of imposed tariffs. In addition, we have made substantial investments in maintenance and the average number of hours on our engine remains low. In addition, the current economic environment has created some benefit for us, particularly with regard to lower fuel costs. Since the directional cost of fuel is hard to predict, we look forward to the day when regional and ability unit economics are free from the unpredictable nature of the hydrocarbon markets as electric powertrains and to service. As a reminder, we estimate that our electric power trains for the Cessna Caravan will potentially reduce the direct cost of flying by 50%, and our hybrid electric powertrains will potentially reduce the direct cost of flying by 25%. Another area that we continue to watch closely is the volatility of the equity market and the availability of equity financing for our business. As part of our transformation plan, we announced last November that we successfully extended the maturities of our secured debt obligations to the end of fiscal year 2028, we're leaving us with the near-term pressures of debt repayment. We later commented that we would raise further capital, limiting advances under our GEM facility to $15 million per year. After the close of the first quarter, we completed a registered direct offering, which provided $5 million of equity capital to the business. In completing this offering, we weighed the opportunistic nature of the transaction given economic and market conditions, the dilution to our investors, the anticipated returns on capital and the attractiveness of alternatives. We will continue to monitor the market for opportunities to raise capital for investments that will create value for our long-term shareholders. During Q1, we continued to thoughtfully deploy capital and invested significantly in the infrastructure that will lay the foundation for profitable growth. These investments are already serving to improve our completion factor, a key driver of our goal to make the airline operations profitable this year. Additionally, our work to separately capitalize both our software initiatives and our electrification initiative continues. We are making excellent progress. And on the electrification initiative, in particular, we are in late-stage discussions to move forward with the prospective partner. We will keep you apprised as those developments unfold. Now turning to Q1 results. For the first quarter of 2025, revenue was $23.5 million, at the high end of our expected range of $21 million to $24 million. Revenue in the first quarter of 2025 was lower than the prior year as expected as we have exited unprofitable routes. Scheduled service revenue decreased by 23% year-over-year, primarily driven by the elimination of unprofitable routes and a brief interruption of service in January. On-demand service revenue decreased by 25% year-over-year over the comparable period, driven by a mix of lower sales and flight confusion as the company continues to focus on charter profitability. Adjusted EBITDA loss in Q1 was $14.4 million within the expected range we provided in our last earnings release. As we move forward, we continue to aggressively execute the optimization phase of our transformation plan, in preparation for our expansion and acceleration phases, which will see the company return to growth. Now let me turn to our outlook for the second quarter and full year. For the second quarter, we are guiding to revenue of $23.5 million to $26.5 million and adjusted EBITDA loss in the range of $10 million to $13 million. These estimates consider the exiting of unprofitable scheduled routes, increased focus on profitability in the on-demand business and our continued investment in our technology initiatives. Our guidance reflects our current expectation that tariffs as they currently exist will not have a significant impact on our business. For the full year, we continue to expect the transformation initiatives to positively impact our financial results. We are reiterating our expectations of at least $100 million in revenue as well as achieving profitability in our airline operations for the full year of 2025. Now let me turn the call back to Deanna for some brief closing thoughts before we take your questions.
Deanna White : Thank you, Oliver. The results from the first quarter demonstrate our continued strong execution against our transformation plan, keeping us on track for our stated goals for this year. While we are navigating a challenging economic, regulatory and funding environment, we are aggressively managing our operations, improving our cost structure, driving efficiencies and proactively mitigating potential impacts to our business. This is a dynamic environment, and our team is working diligently to anticipate changes, take appropriate actions and pivot where necessary. With our unique and exclusive relationships with Palantir, Textron Aviation and others, we, alongside our future partners have three clear growth vectors: the expansion of our air mobility operations, the commercial rollout of our regional air mobility software platform and the sale and marketing of electrified powertrains for the Cessna Caravan. We will continue to pursue these vast opportunities and keep you apprised of our progress. We look forward to presenting at the Jefferies eVTOL Conference on May 28. With that, we'd now like to open it up to questions and turn it over to the operator.
Operator: [Operator Instructions] Your first question comes from the line of Austin Moeller with Canaccord Genuity. Please go ahead.
Oliver Reeves: Hey, good morning.
Austin Moeller: Hi. Good afternoon. I was just wondering what you thought about the changes to the essential air service budget around the $308 million reduction in subsidies. I guess you had mentioned that you think your lower cost option increases your competitive advantage on future contracts?
Deanna White: Austin, thank you for that question. This is Deanna. Yes, we are looking at that. It's a part of the budget reconciliation process. There was an announcement, I think, last week about cutting that budget. It's a $570 million budget. They were looking at along with a lot of other budget items cutting significantly. However, in that, there's a lot of other operators that are higher cost operators, jet operators that are receiving much larger subsidies than we are in our communities that we service that I would believe would be more at risk necessarily than us for a reduction. There's also -- we're following it very closely. We are looking at strategies, including in those routes that we do receive subsidies, if there's other options to for us to stay in those if for some reason, we were to lose the subsidy via the budget reconciliation process. We're watching it very closely, but our low cost -- being one of the lowest cost operators, we do have that competitive advantage.
Austin Moeller: Okay. And can you discuss what of the scheduled and charter flights that you consider to be, I guess, core versus some of the ones that you're reducing activity on? Are there examples of potential routes or regions that you consider to be more core than others?
Deanna White: Sure. Hawaii is the most core of our areas and our AAS routes. A lot of the traffic that we service there, we are a local commuter airline there, and we are providing commuters. All the inter-island flying that happens there, folks have to get -- we're the only way off the island. So we do a lot of traffic there that is not necessarily travel-related, but involves commuting folks to live their lives there. In our EAS routes and communities that we do have, we don't have a competitor, a direct competitor like you would have with a larger hub in the larger airlines. And so you can't necessarily apply the same economics to ours or view of our traffic as you would, a larger commercial or regional airlines. In addition, we have a couple of other clusters, the central region, some clustered in the East Coast. We're always looking to -- as we choose with routes to either exit, enter always looking at profitability, always looking at how they fit within our existing footprint.
Operator: The next question comes from the line of Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good afternoon, everyone. Thank you for taking my questions. It looks like you may be close to maybe done with exiting these unprofitable routes. My question is around just seeing how proactively you may add new routes, new profitable routes? Or is the goal for this segment just to maximize profitability?
Deanna White: Thank you, Amit. We are -- we have targeted routes to exit, however, the EAS routes that we have. Some of them we have been asked to be held in by the DOT longer than we originally requested. The good pieces of that, we are getting an additional subsidy from the DOT to do that. So we do have a number of routes that we had planned to have exited by now, but we're not, we're being held in some as late as the fall of this year. As far as entering into a new Tier 1 route, our current plan does not have us starting that until next year.
Oliver Reeves: Let me just add to Deanna's comment there. I just wanted to give you some commentary on the on-demand side. One of the things you will note from our script is that we are contemplating some pre-buys of capacity and that's important to us because, obviously, in regards to shifting that business towards a more profitable base having those pre-buyers does give us the ability to increase that profitability -- and that's one of the key parts of the recalibration of our business.
Amit Dayal: Yes, makes sense. Thank you. Looking for that. My next question is around the SurfOS side of things. It looks like if this product is starting to get into the hands of potential customers. Just wondering how much more work needs to be done before you guys get more aggressive about marketing all of these
Oliver Reeves: So Amit, thanks for the question. As you can imagine, we're anticipating the feedback from our beta users and integrating that feedback into what we hope to be the commercial product that we will roll out in 2026. That is our plan as it stands. If we are able to accelerate that, we will be very pleased, but the current plan remains to have a full commercial rollout of SurfOS and certainly, certain modules of SurfOS for fiscal year 2026 and then an acceleration of the number of module from there on out.
Deanna White: We are, however, utilizing the SurfOS modules and platforms within our own business, both on our -- the broker OS piece of it on our on-demand business and also in our operations and our scheduled service, we're using the crew app. We're using the dynamic scheduler. We've recently launched a portion of the operator OS that helps with flight planning. So we're utilizing all of the features and products of the software first before we are turning it over to other users.
Operator: Your next question comes from the line of Dave Storms with Stonegate. Please go ahead.
Q – Dave Storms: Good evening and thank you for taking my questions. Just wanted to start with the service interruption that you mentioned in the prepared remarks. Was any part of this planned downtime considering you're still well within your guidance range?
Deanna White: The service interruption that we had within the second week of January this quarter, it was not something that was planned and it had to do with maintenance around corrosion and interiors where we did not have the proper Cessna [ph] program with the FAA, we had a number of hours in the system that we had to reduce our schedule. And the FAA worked very closely with us to get us updated on to that program, so that we could safely and legally fly under that program, but it was something that was not planned.
Q – Dave Storms: Understood. That's very helpful. Thank you. And then just one more. Congrats on the partnership with Japan Airlines. When you're thinking about the potential for more of these to come, are there any geographic geographies that you would be targeting? Would you look at more East Coast operators or which is taking the Pacific region?
Deanna White: So we're excited about the Japanese -- Japan Airlines interline agreement because it's our first international agreement with someone that is flying specifically into one of our largest revenue-generating regions. We would be looking to expand to other carriers, not just in the United States, but also potentially globally too, as Japan Airlines is our first experience at trying to do that
Operator: I would now like to turn the call back over to Deanna White for closing remarks. Please go ahead.
Deanna White: Yes. Thank you. Thank you all who joined the call. I appreciate your interest in our company and hope to report in the future more progress on our transformation plan, the various phases, more progress on all the goals we set for ourselves and our technology initiatives, both on the electrification side and on our software side and hoping to have exciting news on that front in the future. But thank you for your interest, and thank you for joining us today.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.